Operator: Greetings and welcome to Kulicke and Soffa Fourth Fiscal Quarter 2015 Results Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Joseph Elgindy, Director of Investor Relations and Strategic Initiatives for Kulicke and Soffa. Thank you. You may begin.
Joseph Elgindy: Thanks Christine. Welcome everyone to Kulicke and Soffa's fiscal 2015 fourth quarter and full year conference call. Joining us on the call today is Jonathan Chou, CFO and Interim CEO. For those of you who have not received a copy of today's results the release as well as the latest Investor presentation, are both available in the Investor Relations section of our website at kns.com. In addition to historical statements, today's remarks will contain statements relating to future events and our future results. These statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a complete discussion of the risks associated with Kulicke and Soffa that could affect our future results and financial condition please refer to our recent SEC filings specifically the 10-K for the year ended September 27, 2014. For today's call I will assist and facilitate in financial discussion in Q&A. But first I will turn the call over to Jonathan Chou for the business overview. Please go ahead Jonathan.
Jonathan H. Chou: Thank you, Joe. While the current market environment continues to be challenging, I am pleased to share that our global sales team exceeded our adjusted revenue guidance of $100 million to $110 million issued in early September. This positive improvement was achieved by aggressively pursuing all possible sales opportunities during this soft event quarter. I will provide more insight from the market and business standpoint surely but first I want to take a few minutes to speak about the recent departure of our CEO. Effective October 5, 2015 Bruno Guilmart has decided to retire from the company as President and CEO as well as from his Executive Director position. While his departure is clearly a loss, we will like to remind investors how our functional organization is structured. With the strength of the management team build by Bruno and how we are inherently prepared for changes like this. The effective management team has and continues to be functionally organized. This global leadership team includes all of our key functional leads as well as our business head who represents the voice and direction of their respective business lines. This approach has provided us the opportunity to standardize our global processes and drive operational efficiencies at the functional level while also creating sales and marketing opportunities at the business level. The additional benefit with this approach is that our leadership team is highly capable to continue business and operational execution throughout transition such as this. While Bruno will clearly will be missed, I am very confident that the management team who have been intimately involved in developing the current corporate strategy under Bruno’s leadership will continue to pursue and execute on current strategy as well as make a refinement as needed under our strategic planning process. With that said I'd like to switch topic to our fourth quarter business results. During the fourth quarter we booked revenue of $119 million. While still relatively soft this is above our adjusted revenue guidance range of $100 million to $110 million. Since our adjusted guidance, our ball bonded business pulled through and was the main driver that helped us exceed our revised revenue outlook. Copper capable ball bonders still accounted for 72.6% and LED ball bonder’s account for 16% of total ball bonders. Our capillary business had increased by 9.1% over the June quarter as we continued to capture additional share and target specific growth markets. Our Wedge and APMR businesses also had some late wins in the quarter bringing them in towards the higher end of our revenue expectations. Sequentially both of these business performed relatively well. APMR up slightly while our Wedge Bonder equipment increased by 8.5% over the June quarter. Overall we continue to operate under a very soft market environment which we believe is centered on the luglessor [ph] PC, Smartphone, and tablet centered segments as well as generally soft emerging market consumer demand. These conditions are evident through our interactions with customers, higher inventory level, changes in CAPEX forecast across the supply chain, and the weaker outlook reported by many of our peers. Some of our industry research providers expected cyclical softness to come in during the calendar year 2016 although it seems to have started earlier. While we don’t see extremely high level of macroeconomic concerns which impact customer and demand and is the key driver of semiconductor output. It is always uncertain how long this down cycle could last. Regardless, as part of our strategic process we have prepared in advance by identifying our range of operational improvement to drive additional efficiencies across our functional organizations to further enhance the flexibility of our operating model. These changes were largely went into effect at the beginning of our fiscal year 2016 which started October 4th and resulted in organizational restructuring. A lower dependency on outside service providers and ultimately cost reductions throughout the organizations. In addition to these cost reduction which I will touch on shortly, we have also reprioritized resources and focus on those development initiatives exposed to the most meaningful opportunities. These changes have allowed us to improve our breakeven and through cycle performance and well maintaining a strong focus on our meaningful long term and growth-centric opportunities. Growth through ongoing product development initiatives to drive share and market expansion across our diversifying business lines is central to our broader corporate strategy. These opportunities are not limited to the rebound of our traditional back-end markets, but are meaningful within the sizable and growing advanced SMT segment as well as other -– as well the many new interconnect technology developing within event packaging. Our most recent cost reduction effort through the company has allowed us to sharpen this focus and we are situated to emerge from this downturn stronger, better positioned, and more agile organization. As a result of these corporate initiatives we would like to provide an update to our operating expense model which help to explain – which help explain -– to explain the scalability of our operating structure. Over the current fiscal year 2016 period, excluding prototype thing expenses related to advanced packaging development and one-time charges, we anticipate quarterly expenses to include a fixed component of approximately $45 million plus a variable component of 6% to 7% of revenue. Selectively these fixed and variable expenses have a floor of approximately $51 million. In addition to this base level of operating expense for the December quarter. We are also investing an additional $4 million of advanced packaging prototype expense and $2 million of restructuring related expense. Looking ahead to the March quarter, we anticipate the base level of fixed and variable component, plus an additional $6 million of prototyping expense. Taking the additional prototype and restructuring expenses into account, our breakeven level is anticipated to be approximately $125 million in both December and March quarters. This is down from breakeven revenue of approximately $135 million implied from our prior operating expense expectations. Beyond the March quarter, we anticipate our breakeven to fall to approximately $115 million. As a point of reference, our previously disclosed operating expectation was $50 million of fixed quarterly expense, plus 6% to 8% of variable expense tied to revenue, with $7 million of prototyping expense in the December quarter. I would now like to turn the call over to Joe Elgindy, who will cover the quarter’s financial overview in greater detail.
Joseph Elgindy: Thanks, Jonathan. My remarks today will only refer to GAAP results and will compare the September quarter to the June quarter. Net revenue for the quarter was a $119.2 million, strong gross margins of 48.9% generated $58.2 million of gross profit. We also generated $1.6 million of operating income. We ended the September quarter with a total cash and investment position of $498.6 million. Despite ongoing cash outflows associated with our repurchase program, we increased our cash position by $22.7 million, as we continued to convert working capital to cash. From a diluted share standpoint this cash position was equivalent to $6.84 and our book value equivalent was $10.59. Up until very recently we anticipated a non-cash tax benefit of approximately $20 million as a release of deferred tax liabilities from our balance sheet. Upon finalization we were only able to release $9.6 million of these deferred liabilities. While this is slightly disappointing from an EPS standpoint, we were able to offset this with better-than-expected operational performance. To reiterate, the additional $10.4 million tax benefit would have been a non-cash item. From a cash tax standpoint over our fiscal 2015 period, our cash tax outflows were approximately $4.8 million or equivalent to roughly 12.8% of our pre-tax income. Looking ahead to fiscal 2016 due to the potential shifts in global customer demand patterns that would impact our income distribution between past jurisdictions, we are increasing our prior targets 15% effective tax rate, fewer target in excess of 20%. On a quarter-to-quarter basis our effective tax rate can deviate further from its target range due to customer mix, future acquisitions, and changes to our legal entity structure. Working capital defined as accounts receivables plus inventory less accounts payable decreased by $40.6 million to $162.2 million. This decrease was largely due to the change in business volume and collections of accounts receivable. From a days perspective, our day sales outstanding decreased from 94 to 82 days. Our day sales of inventory decreased from 81 to a 117 days and days of accounts payable decreased from 50 to 38 days. Throughout the September quarter we have continued to take advantage of the soft market valuation and continued to execute towards our repurchase program. During the September quarter we repurchased an additional 1.8 million shares at an average price of $9.38. This accounted for approximately for $17.2 million of cash outflows. From the program's inception through the September quarter we have repurchased 6.4 million shares or just over 8% of our diluted share count. As of the end of our fiscal year we had approximately $22 million remaining under the current program. As a reminder the potential for near term opportunities that would require the use of U.S. cash can affect the execution rate of our repurchase program. This concludes the financial review portion of our call. I'll now turn the discussion back over to Jonathan for the December quarters business outlook.
Jonathan H. Chou: Thanks Joe, as disclosed in this morning's press release due to the continuing market softness we are targeting revenue to come in between $90 million and $100 million. As discussed earlier today and also in prior calls we believe this market softness is overwhelmingly due to broad based industry cyclicality. This has been more and more evident over the past several weeks with CAPEX cut through throughout our industry's value chain. As we have in the past period of softness we will continue to execute on our broad corporate strategy and deploy capital in prudent manner to drive long-term shareholders value. This strategy clearly includes our share repurchase program as well as ongoing investment expected to enhance and extend our available market reach. On a business standpoint we continue to be cautiously optimistic for improvement throughout our core SMT and advanced packaging lines. Within our core businesses stabilizing utilization rates in wire bondings, share gain in capillaries and specific niche opportunities in which combined with expectations on longer-term industry recoveries all add confidence to our optimism. Additionally while our share is relatively small within the growing advanced SMT space, this sizable market represent real growth and diversification opportunity specifically within our automotive and industrial segments. We are continuing to increase investments in this area to participate in the anticipated growth of this market over the coming years. Finally, our advanced packaging development in both mass and local reflow continues to gain traction with a variety of customers who are eager to take advantage of new and higher growth packaging techniques such as 10µm wafer level packaging, System-in-Package, and Thermal Compression. Our overall integration and customer traction is continuing smoothly with our mass reflow business and our recently introduced Chip-to-Wafer local reflow solution has also gained very strong customer interest and continues to be a promising solution to the industries future high density [indiscernible] needs. We look forward to shipping our first commercially accepted local reflow machine over the coming six months. This concludes our prepared remarks. Operator we will now be happy to take any questions. Question-and-Answer Session …as our prepared remarks. Operator we will now be happy to take any questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Krish Sankar with Bank of America Merrill Lynch. Please proceed with your question.
Krish Sankar: Yes, hi, thanks for taking my question. I have a few of them. Jonathan, if I look at your core, your big customers at ASC, in the last couple of quarters your wire bonding additions has almost dried up. We’ve never seen this level of low trending. I’m kind of curious has anything fundamentally shifted in the business in the last six months or you think this is just that it has usually been slow that is typical?
Jonathan H. Chou: Well I think the -– obviously, I am going to first start -- first, I would say, adopter of the factor on copper. So in the early years they basically invested in copper capacity fairly aggressively, and that was in 2010, 2011, 2012. At this point in time from a copper and gold mix perspective they actually have reached closer to the end state, probably about 70% potential higher in copper. So we are contingently actually purchases in practice. This past quarter we had 73% of copper capable bonders and we are seeing purchases from the non, the two usual prospects from Taiwan can change it -- basically buy copper machines over gold. So the conversion from that obviously it is actually progressing to a sort of a late stage in terms of the gain, but you are still seeing some non-big Tier-1s basically later still continuing to actually buy copper machines.
Joseph Elgindy: And Krish, just to add on to, usually in lower-volume quarters are both side shipments usually shift down a little bit relative to our IDM shipments. And I think this is mostly just because it usually tend to be a little more associated with the cyclicality, because they deal with that over the capacity.
Jonathan H. Chou: Yes. So in this quarter the mix in terms of IDM and post that is actually 60:40, it is much more skewed towards IDM.
Krish Sankar: Got it. Couple of other questions, should we expect more compressions on the revenues than you had in the 2016 that you guys quote?
Jonathan H. Chou: Well, we are actually working, in fact we're actually shipping out additional machines. We are expecting to ship them out till the end of the year. We expect to have actually total of 10 machines out there for go through the qualification process by year end. So we are working diligently with our key customers, selected customers on the qualification process, and our aim is to actually bring some PL towards the later of this year, this fiscal year.
Krish Sankar: Got you. So later this fiscal year there’ll be some revenue on it.
Jonathan H. Chou: Yes.
Krish Sankar: Got it. Alright, and then another question is that just like you guys are coming towards the tail end of your buyback program, Jonathan, I’m kind of curious, your view on caps within, if you think that buybacks will grow or you’re going to have to wait for the acquisitions or how do you think about it?
Jonathan H. Chou: No, I think this is a topic that I actually review regularly with our Board in terms of capital allocation. So buyback is part of that. We still continue to prioritize our capital allocation towards our organic actual initiatives development within our businesses, within our R&D space and currently we are also interested in potential -– basically a opportunity in the inorganic side to basically do either tuck-in or something a little bit more interesting from within our adjacency space.
Krish Sankar: So would you…
Jonathan H. Chou: But buyback will be part of it.
Joseph Elgindy: Buyback will be part of that capital allocation strategy.
Krish Sankar: Got you. And in terms of acquisition direction that you can say, are you open to transformative acquisitions or would you be more open to bolt-on tuck in like what Kulicke and Soffa has done in the past?
Jonathan H. Chou: Well, we've been pretty conservative in terms of -– we’re just very careful in terms of actually type of a acquisition we would do so. Our planning process which actually we've gone through our fifth year so far looking at three years to understand really where we want to be in three years time. So we do look at adjacency. We do have some bright space that we look at but obviously we need to make sure we understand what that space is about and how we can actually translate our core competencies into basically adding value in that space. So we are continuing to do that but obviously the adjacency will come before the live space.
Krish Sankar: Got it, thanks Jonathan, thanks Joe.
Jonathan H. Chou: Thank you.
Operator: Our next question comes from the line of Tom Diffely with D.A. Davidson. Please proceed with your question.
Tom Diffely: Yes, good morning or good afternoon. So, this first question is on just the market outlook. Obviously things are little softer now. But I am curious how does your current utilization rate of your tools in the sales compared to just the normal seasonally slow fourth quarter?
Jonathan H. Chou: Well, the utilization that we are currently looking is probably about 70% level at this point in time. And if you look at historically recent to last say 12 months or so anything closer to 80% level I think we would basically get some pretty good ramp on that. So we are hoping obviously it's hard to forecast in this the wire bonding space as well as actually in this sector. We hope it is actually is a shorter cost cycle of course. But according to the OSI [ph] and some of the other outside basically analyst and you know 2016 is a soft year based on those reports, the subsequent years will be better.
Tom Diffely: Okay, I am just I mean normally your business is pretty soft until Chinese New Year. What is the standard utilization rate for this time of the year normally, is that 70 today and 80% when we start to order equipment again or tools again, what's the typical soft period?
Jonathan H. Chou: I would say this is a usually lower cycle year compared to the previous because we certainly have not have to basically revise our guidance in the Q4 fiscal year. And the December quarter that is actually seasonally low. So I would say utilization rate at this point in time is pretty similar to the prior years in this quarter, in this seasonal quarter. But this particular year we are aware of the fact that it is a lot of inventory basic build out there that needs to be digested in the marketplace before utilizations can actually move up.
Tom Diffely: Okay, and then looking at the $20 million benefit you were expecting, what happened that is relative about $0.5 [ph] and does that other 10 million expected to come at a later date?
Jonathan H. Chou: Well we are -- this is something that we actually have been working on for some time and basically our position was not finalized until actually towards the end of our closing process. And this types of -- is actually quite complex and it certainly has a lot of basically different consider element working with our advisors and our auditors on that. So in terms of wouldn’t that will eventually come out it really has to do with basically how we continue to plan, how we can reorganize and simplify our [indiscernible] structure. That’s why we actually have to kind of wording a suggestion in our script on that on the tax side.
Tom Diffely: Okay and then on a similar vein, that’s why the taxes have gone up for 15% to 20% plus is just the structure you are creating with the combined companies?
Jonathan H. Chou: Yes, that has to do with the fact that we are seeing different type of -- we are selling different jurisdictions and although we do have in lower tax rate here in Singapore, we are selling more in U.S. and other higher tax jurisdictions. So therefore our tax -- effective tax rate does actually fluctuate based on where we saw our equipment and solutions.
Tom Diffely: Okay and that 20% is that a view for 2016, is that a view kind of on a long-term basis as well?
Jonathan H. Chou: Yes we believe long term could be bit lower than that. So what we are guiding is just 2016 some.
Tom Diffely: Okay and then looking at the different regions you are in, did you have any kind of the meaningful FX impact this quarter?
Joseph Elgindy: FX, we manage that pretty tightly. We do actually hedge about six months at a time and -- so this is just on same dollar expenditure. So I would say given the strength of the dollar plus really how you spell in it is kind of a -– it does even out for the past quarter.
Tom Diffely: Okay. And then finally, when you look at the results of the just reported quarter at $118.15 million, if you take out the tax impact it looks like you were about break even at $1.19 in the quarter. Just curious what's the difference between the just reported quarter versus the new breakeven around a $125 million?
Joseph Elgindy: Yes, we do have some prototype expenses in there, in the December quarter.
Tom Diffely: Okay. So that $125 million was inclusive of this $4 million to $6 million of prototype?
Joseph Elgindy: That’s why it is higher. We have actually a total of $10 million split into $4 million and $6 million in terms of current quarter that we just got into and Q2 fiscal is actually fixed, that’s why the break -– revenue breakeven is higher. Once we actually are done with the prototype expenses then it will actually come down to $115 million. Okay?
Tom Diffely: Okay. Thank you.
Operator: The next question comes from the line of Craig Ellis with B. Riley. Please proceed with your question.
Craig Ellis: Thanks for taking the question guys. First is just a clarification. There was a nice sequential improvement in gross margin in the quarter, sorry if I missed it in the prepared remarks, but what was that and is it a one-time item or is that sustainable?
Jonathan H. Chou: The gross margin improvement is largely due to basically product mix and customer mix. We have one customer that is within a heart attack to efficiently that basically help us basically pick up the gross margin.
Craig Ellis: Thanks, Jonathan. And then looking ahead to the breakeven commentary, beyond March breakeven is expected to fall by $10 million to $115 million. Can you identify what's driving the incremental $10 million benefit and is that $115 million a sustainable low or would you expect to make further improvement on that level?
Joseph Elgindy: Yes. Craig, this is Joe, just to clarify for the December quarter and also for the March quarter, we have about $6 million each in those quarters. In the December quarter we have $4 million of prototypes plus about $2 million of restructuring cost and in March quarter we have about $6 million of prototyping expense. Beyond that we don’t expect additional prototypes to come through, and that $6 million is basically a bridge to that $10 million gap and breakeven.
Craig Ellis: Got it. Thank you. Then lastly for me, just looking at the business there were some helpful commentary earlier about strategic moves and things that you could do with adjacencies versus wide space that just taking a step back and looking at the very significant cash balance the company is active with the buyback, and Jonathan as you look ahead and as you work with the Board can you help us understand how you’re prioritizing buybacks versus M&A and growth through diversifications either adjacently or wide spaced opportunities that you have? Thank you.
Jonathan H. Chou: Well I think that this is something that as I said is always actually discussed, the prioritizing may shift but our priority is to ensure that we are continuing to invest in our business, to grow our portfolio of the actual product and solutions to our customers. And if there's actually acquisition opportunities that’s actually within our planning process that appears on our radar then we certainly would be interested in that. From a return of capital to shareholder, it hasn’t really changed in terms of the rationale that went in three years, two years ago when essentially our program was launched. In the same way we do need to just basically maintain there's enough basically financial resources to actually meet those higher-priority items first before we can consider actually a return of capital to investors. Craig, does that answer your question?
Operator: Our next question comes from the line of Mohit Khanna with Value Investment Principals. Please proceed with your question.
Mohit Khanna: Yes, just one question here. The improvement in gross margins, I think I might have misunderstood it this is due to the new customers that you have started selling to in different geographies, am I right?
Jonathan H. Chou: No, Mohit the question, I mean in the lower volume quarters obviously the product mix as well as the customer mix can actually shift the gross margin pretty nicely. And in this particular quarter as I mentioned in my script we have some nice wins towards the later part of our quarter and this particular -- this customer that basically where I mentioned higher tax jurisdiction, this is actually in the U.S. that basically allow us to basically have a nice pickup in terms of gross margins.
Mohit Khanna: Okay, so when you say about tax rates going up for the next year, you think the gross margin should also be going up, will that be a fair assumption?
Jonathan H. Chou: Well the tax really is reflects -- it is more of a projection of where we may our sell solutions. Really a lot of the revenue that could be booked outside Singapore. We obviously love to book as much as we can here at 1% to 5% rate and gross margin really depends on, it really depends on the product that we are selling or solutions and the type of customers. We do have an internal kind of target to maintain the 45% gross margin which we have achieved in the last I would say five years since I have been with the company. So, we believe that it is -- that it is achievable and it could be maintained.
Mohit Khanna: Alright, I am talking about the customers, what kind of traction or new industries that you are exploring right now, can you talk a little bit about the new growth opportunities that you see potential for KLIC’s kind of technologies going ahead? And how do you see KLIC’s coming up with advanced packaging and solutions that we can expect, thank you
Joseph Elgindy: Yes, I would say generally to touch on the advance packaging story first, we have basically a solution for almost every advanced packaging interconnect technology today with our mass reflow AP business as well as the APLR local reflow business. And also as expected little later on with Thermal Compression as that takes traction through probably the second half of 2016. So we have a pretty good footprint I would say generally within these new technologies where two years ago largely we were a wire bonding story. And these new products and services while they give us traction and reach into the advanced packaging space or the 15% to 20% of semiconductors that don’t use wire bonding. We also have access to this advanced SMT market through the assembly and acquisition which is a fairly sizeable market with room for market share gains and additional traction at higher performance side where the assembly or the APMR placement. When we look ahead at other acquisitions there is obviously a lot of different areas where we think we can add value but the two biggest are probably in the technology space where we can reuse our R&D competencies and also where we can potentially leverage our customer sales outreach and distribution network. So, those two depending on what you look at we would say let's say in closer adjacencies and there is a lot of smaller or big bolt on type acquisitions that come into play here. But there are also some that could be a little farther outside of that space. And our team continues to look at things. I think we’ve been pretty prudent with the assembly on acquisitions and in these other opportunities and targets are still pretty broad range. But generally that’s the criteria. It’s not really a tight financial control criteria but its more on what value you can bring to that acquisition.
Mohit Khanna: Alright, thank you so much.
Operator: Our next question comes from the line of David Duley with Steelhead Securities. Please proceed with your question.
David Duley: Yes, thanks for taking my question. One of the questions I had was could you talk about the size of -– Jonathan, I think you mentioned the size of the wire bonder market being down next year, calendar 2016, according to BLSI. Could you help us understand what the size of the market was in this current calendar year and what the delta will be next year, how much will it be down?
Jonathan H. Chou: Yes, hey David. Well based on the projection we have 2015 is actually shy of 600 million in terms of the ball bonder market from turns of hand. 2016 probably will be just shy of 550. And then basically 2017 and 2018 is really when we are going see above 600, 650 in 2018 roughly. So it is -- basically 2016 will be sort of a softer year with 2017, 2018 also will be a -– basically a higher cycle year before it comes down in 2019. That’s based on…
David Duley: I’m a little curious.
Jonathan H. Chou: Just quite hard to guide that far ahead too, but that is actually what we're reading and how we're actually interpreting it.
Joseph Elgindy: And Dave, sorry but we tried to call us out on the script from the third party market that we look at, they basically call 2016 to be the down year and we think that might have sort of gained in a little bit towards 2015.
Jonathan H. Chou: Yes.
David Duley: So 2015 was a down year as well right? So 2016 could be another down year for the market?
Jonathan H. Chou: That’s right.
David Duley: And why do you think it would start to recover, with most of the new parts that are being built now are 28 and 20 nanometer going full ship, I’m a little curious why you think the overall market would grow?
Joseph Elgindy: I would say Dave, our -– from the huge amount of new machines that we put into the installed base from 2010 through 2013, largely associated with the copper replacement cycle, we think in a lot of ways we’ve front loaded our normal replacement business and that largely we think is replacement type market. We still think that there's growth from units. But as you know new account has some semiconductors were higher over the last few years than they’re projected to be over the next year. So we’ll have a little less incremental capacity requirements that are driving the TAM over the next few years. I think the unit count in our space for dies in the 200 to 1000 IO count range were in the 6% unit count forecast over the next two years where they were closer to 9% I believe over the last two or three years. So I think that’s a big one and the copper replacement piece that was front loaded also drives some of that. But overall, from a longer term standpoint, we along with some of the third-party market guys think that this isn’t going to disappear any place and its going to continue to grow at a small-single digit CAGR.
Jonathan H. Chou: Yes, just exactly, just to enforce, and single-digits is based on this type of projection in front of those is 3% CAGR for the coming years. And from our perspective we've actually took out some COGS out of our business while investing in our advanced packaging towards driving expenses of our business. We are continuing to basically just watch our costs very closely so that in case this soft cycle is actually more than two, three quarters, we can still basically ensure that we think they are breakeven.
David Duley: So as far as the Assembléon acquisition then, product line so those were geared at mostly advanced packaging applications and it sounds like they are kind of helping you bridge your businesses where you can get your minimal compression on your product line up and running, which sounds like that for the second half of 2016. Could you help us just remind us what's the level of revenue on a quarterly basis, annual basis, Assembléon is doing now or that remains, I guess what I’m asking for is what really is your true advanced packaging revenue now?
Jonathan H. Chou: Well, let me just comment on the Assembléon. When we acquired that company we bore that about onetime revenue of a $100 million throughout. But that’s under the historic exchange rate between Euro and U.S. dollar. I would say the run rate at this point in time is about 85 level when you actually do that calculation to U.S. dollar. And the revenue mix itself has 70% in the SMT and the balances in the advance SMT. So you are right, our aim to advanced packaging, advanced SMT type so we do want to basically continue to win more actually businesses in the advanced SMT side which is part of our advanced packaging. We call it advance packaging that’s reflow. It has a lot of synergy in terms of what we are doing on the local reflow side. In fact it is common customers and it is actually a way for us to really improve the customers cost of ownership basically from the stuff before the wire bonder side.
David Duley: Okay, so the advanced packaging contribution now this is about 30% of 85 million?
Jonathan H. Chou: Yes, if you count the APM arch line yes.
David Duley: Okay, thank you very much.
Jonathan H. Chou: You are welcome.
Operator: Our next question comes from the line of Rishabh Jain with Singular Research. Please proceed with your question.
Rishabh Jain: Hello.
Jonathan H. Chou: Hi Rishabh.
Rishabh Jain: Hi, good morning. Yes, my question basically how did the assembly on acquisition do this year, this quarter I am sorry, how did the revenues look like for Assembléon?
Jonathan H. Chou: I think generally on the acquisition it is a good sense for us in terms of the acquisition. It is a transitional year. We are still in the process of actually integrating the business and we also are investing in the business itself to basically capture more markets. So we are going to go through that and hopefully will basically based on the additional investments we are making second half of fiscal year 2016, certainly fiscal year 2017 we are going to see actually good growth coming out of that. And contributions they are not just on margins as well our earnings in the future.
Rishabh Jain: Okay and do you have any other product through advanced packaging [indiscernible] Thermal Compressor bonder yes, because I don’t like in 2016 you guys are rolling out the Thermal Compressor bonders is there anything else in the advanced packaging line that’s probably going to get the revenues to boost in next few years?
Joseph Elgindy: Yes, well this is one of our highest priority in terms of getting some additional tractions on advanced packaging local reflow we call APLR and since we actually launched the APAMA platform which start out which Chip-to-Substrate and it is now basically we are going through a qualification with a number of customers on a Chip-to-Wafer size. There is actually two additional kind of a applications or solutions that we are actually work on that non-Thermal Compression. It is actually high accuracy scripture [ph] that is within our wafer level packaging. So these are the kind of four applications or four flavors I call it for the APAMA machine platform. And based on this if you look at the traction that takes place on thermal compression we mentioned the memory size clearly getting traction in terms of the adoption for that Thermal Compression machine in terms of the potential basically deals that were coming for that. But because of the fact that everyone is very focused on, our customers are focused on really cost of ownership there are actually other ways to do this basically size thermal compressions. So that’s where the thin wafer packaging as well as high accuracy feature will basically come into to use eventually.
Rishabh Jain: Okay and what exactly if you were eventually put a number of these kinds of the advanced packaging market, the singular piece advance packaging market you guys from a compressive bonders and the subset side of the market, what kind of market size do you see annually in the advanced packaging segment that you guys care to?
Jonathan H. Chou: Well, obviously this is it really depends on how fast the adoptions and in terms of this particular solution or space but we believe that by 2017 it should be about 300 million and that could be viewed as finished services but it really depends on really the adoption.
Rishabh Jain: What kind of the share views are you having in the advanced packaging markets $300 million?
Jonathan H. Chou: Well in the past we have actually said that we are always talking about at least 30% and trying to move up on that.
Rishabh Jain: Okay, and so does the utilization levels to clients facilities for the wire bonders -- equipment shape growth at 8 [ph] percentage this time around?
Joseph Elgindy: Sorry, Rishabh we missed that.
Rishabh Jain: Sorry, I was just asking if the utilization rates at your client's facilities for the wire bonding equipment group be below 30 percentage this time around in this quarter?
Joseph Elgindy: Right, now our utilization rates I mean this is a mix of our customers which we try to track with our service guidance in the field are in that 73% to 76% range right now which we think for a downturn from a cycle standpoint it seems pretty healthy. Usually from the way we track utilization, once we hit 80% our volumes generally kind of pickup pretty quickly. And depending on who the customer is there could be pockets of customers, one we are still on average under 80% that would be above that rate.
Jonathan H. Chou: Another indicator is really how consumable the capillaries business of ours and we are seeing that there are still nice purchases or demand for our capillaries, that’s another angle.
Rishabh Jain: Okay, and you kind of see the utilization rates picking up. I know the 2016 is going to be a line cross for your timeline [ph] going into 2017 you kind of see over 80% utilization rates going forward in 2017 and 2018 or you kind of see the large buying market being replaced multiple time. There will be a low single-digit growth in the market, do you kind of see it just how to replace the market?
Joseph Elgindy: I think if you look at the utilization we have data going back for the last 12 months. It really touches about 80% level and even that does at the higher closer to 80% level we should be able to actually capture the demand out there and maintain our market share. So I think it doesn’t have to be above 80% that’s what I am trying to say in terms to have a reasonable basically year in maintaining our market share within the wire bonding space.
Rishabh Jain: Okay, sounds good, thanks guys.
Operator: Mr. Elgindy we have no further questions at this time. I would now like to turn the floor back over to you for closing comments.
Joseph Elgindy: Thank you all for the time today. As usual please feel free to follow up directly with any additional questions. Christine, this concludes our call, good day.
Operator: Ladies and gentlemen this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation. And have a wonderful day.